Operator: Ladies and gentlemen, thank you for standing by. Welcome to the NICE Systems' Third Quarter 2007 Results Conference Call and thank you all for holding. All participants are at present in a listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded November 7, 2007. I would now like to turn over this call to Ms. Daphna Golden, Corporate Vice President, Investor Relations & Corporate Development. You may begin.
Daphna Golden - Director of Investor Relations & Corporate Development: Thank you operator and good day everyone. With me in the call are Haim Shani, Chief Executive Officer; and Dafna Gruber, Corporate Vice President and Chief Financial Officer. Before we start, I would like to mention that this call contains forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please be advised that the company's actual results could differ materially from these forward-looking statements. Additional information that could cause actual results to differ materially is contained under the subheading forward-looking statements in the company's 2006 Annual Reports on Form 20F as filed with the Securities and Exchange Commission on Jun 13, 2007. Such factors include, but are not limited to, changes in technology and market requirements; the decline in demand for the company's products; inability to timely develop and introduce new technologies, products and applications; difficulties or delays in absorbing and integrating acquired operations, products, technologies and personnel; loss of market share; pressure on pricing resulting from competition; and inability to maintain certain marketing and distribution agreements arrangements, which could cause the actual results or performance of the company to differ materially from these forward-looking statements. The company undertakes no obligation to update these forward-looking statements. During today's call, Haim Shani will present an overview of our business, as well as our strategy and outlook for the remainder of 2007 and beyond. Dafna Gruber will present a more detailed discussion of our third quarter 2007 results and will provide financial guidance for the first quarter and remainder of 2007, as well as first time guidance for 2008. Following our comments there will be an opportunity for questions. Let me remind you that unless otherwise noted on this call, we will be commenting on our adjusted results of operations which differ in certain respects from generally accepted accounting principles, as reflected mainly in accounting for acquisition-related revenues and expenses, amortization of intangible assets on accounting for stock-based compensation. Please refer to our third quarter 2007 press release for our reconciliation of our GAAP and non-GAAP results discussed in this call. With that, I will turn the call over to Haim Shani.
Haim Shani - Chief Executive Officer: Thank you Daphna. [Technical Difficulty] both on the top and bottom line keeping off another quarter of excellent performance. The company delivered record revenues of $133 million and record earnings per diluted share of $0.38. These results reflect the strength of our strategy to deliver solutions that help organizations in the enterprise and the security markets to improve the business and operational performance and ensure safety and security. Key highlights from the quarter were as follows: record revenues and strong growth to our security business including a growing pipeline of large scale security projects; demand for NICE SmartCenter with its best-of-breed solutions, we focus on interaction analytics; excellent feedback form clients, regarding the acquisition of Actimize; and the first signs of new opportunities coming in as a result of the change in the competitive landscape. I would like to elaborate more on this point as well as on the growth drivers behind our results. We continue to see growing demand for our comprehensive solutions for the Enterprise sector. More and more customers are seeking out the value add of NICE SmartCenter along with our adaptive interaction analytic solution to help them grow the business, deliver outstanding customers service, gather critical business insights and improve operational efficiencies. And as we have reported in past quarters, Q3 once again saw Voice-over-IP related bookings double over the same period last year, with orders coming in from outsourcing Giant West Telemarketing, Fredrickson, a financial services outsource in the U.K., both of whom I'll talk a little more about shortly. Other Voice-over-IP customers include ANZ Bank one of the largest things in Australia and Kiwi Bank with New Zealand's largest branch network in the country. Our analytic solutions are providing clear and quantifiable benefits for a variety of organizations in the financial services industry including those involved with collections, for example, Fredrickson UK provider of debt collection services. Frederickson selected our adaptive interaction analytics, to help them improve their capabilities in collecting consumer and commercial debt on behalf of their clients, which include some of the largest financial institutions and corporations in the UK, many of which are listed on the Fortune 100. As a result, such organizations are also turning to NICE to help them drive collections-related revenues. We do this by helping them understand how different agent behaviors impact the rate of collections. For example, negotiations schemes, which are critical to optimizing collections and increasing revenues. Industry analysts are also taking note. In its recent market report, Gartner gave NICE its highest possible rating, and Frost & Sullivan gave us their prestigious 2007 Market Leadership Award, noting that I quote ' NICE SmartCenter will help businesses to have low contact center data into fractions for better agent behavior and customer service, providing insight this marketing legal compliance finance and others, can use to help understand what's going on in the contact center. Turing to the Actimize acquisition, which we are very pleased, with the progress since the completion two months ago. Actimize continues to bring in customers wins to other compliance, fraud and Anti-Money Laundering solutions benefiting from being a part of the global company with an extended foot print, as well as from the latitude offer, afforded by being a standalone entity with NICE. The feedback that we are getting from NICE and Actimize customers about the acquisition continues to be very positive. Last month intact I had the pleasure of hearing such feedback first hand at the Actimize Annual Client Forum which had close to 150 executives from the world's leading financial institutions. The event featured presentations from formal acting Chairman of the SEC, Laura Unger and for representatives of global industry leaders such as Wells Fargo, Aegis and GE. This event created opportunities for Actimize clients to learn about the benefits of the NICE-Actimize combination which constitutes a breakthrough in processing, analyzing and cross-referencing information from customer end transactions and interactions. This unique combination will enable organization to take millions of transactions and interactions and handle huge amounts of data to get a full view of what is happening at the different customer touch points across the organization. At the event, we received excellent feedback, validating our vision from some of the largest banks in the world. I'd like to share with you just a couple of comments from executives that are the in charge of monitoring fraud and compliance, which I personally held as follows 'this was very much an idea generator for me. I would love to monitor call center PBT integrating this product into the Actimize alert agent [ph] and I would like to see Actimize leverage NICE to additional case management offerings for regulatory enquiry tracking, customer complaint tracking and other compliance and legal functions'. We were also happy to see last week that leading publication Bank Technology News, ranked the Actimize employee fraud solution among the to 25 industry innovatives. Actimize was chosen from among hundreds of solutions being offered for the financial services in this. Looking at the market dynamics in the Enterprise sector, we are seeing a strong momentum in the interest of our solutions and that the shift in the competitive landscape is working to our favor. For example, Washington Neutral [ph], one of the US leading banks selected the IEX TotalView Workforce Management Solutions for the first time. We've been saying that we believe that industry consolidation will have a positive impact on NICE at least for the short and mid-term and indeed it is. We continue to strengthen our position as the clear leader in this space with competitors' customers turning to NICE and this can be seen in recent wins for major competitive displacements. One example is West Telemarketing Corporation, an outsourcing giant with 37,000 employees which decided to standardize on NICE platform ahead in the place its existing system. A couple of other examples include major financial services organization in North America which also replaced competing systems they had implemented with NICE Solutions. Now moving to the Security sector; we had several of interesting successes in Q3 and our pipeline continues to grow. And example of the recent large scale win includes the $9 million contract from the city of New York to implement NICE Inform in its next-generation 911 emergency call centers. Nice Inform, our revolutionary solution for multimedia command and control with -- as part of the city's ground breaking emergency communications upgrade project to help improve service to more than 11 million New Yorkers making 911 course easier. Another large order recently announced was the $4 million bill with government agency in India which selected our solution to help them deter terror and better protect their citizens. We've just started deploying the first sights of the FAA NICE Inform project which we announced in the second quarter. We are very happy to receive feedback form the FAA in which they expressed their appreciation for helping them achieve major milestones and note that that NICE performance was 'a successful demonstration of how things could work well on the project'. Another couple of interesting applications wins we had this quarter came in from the consultation sector. One example is Royal Caribbean Cruise Line, RCCL which was looking for high-end solution to implement to count [ph] large number of distributed sites. Royal Caribbean turned to NICE, placing its seven digit follow on order bill to implement our IP video security solution in over wealthy ships. Another example is China's Shanghai Pudong International Airport, which also placed a seven digit order for our IP-based video solution with content analytics. In conclusion, the excellent performance we saw in the third quarter with Actimize starting to contribute to our business constitutes a validation of -- initiative strategy for growth. We intent to continue complementing organic growth with decent acquisitions and are proud of the tangible benefits the execution of our strategy is bringing to our company, customers, partners and shareholders. We look forward to delivering even more in the coming quarters. Now I will turn the call overt to Dafna, for a closer look at the numbers and for our guidance for the remainder of 2007, and first-time guidance for 2008.
Dafna Gruber - Chief Financial Officer: Thanks Haim. The third quarter of 2007 marked another record quarter for NICE. In my analysis, I believe sale as always to the non-GAAP results. NICE management believes that the non-GAAP reporting is the best way to evaluate our performance. Revenues in Q3, reached a record of almost $133 million, up more than 18% from $112 million in Q3 of '06. Year-over-year organic growth was 15%. A record net income of $21 million in Q3 of '07 demonstrates an impressive increase of 31% from Q3 of '06. Enterprise sector revenues were $96 million in the third quarter, up 16% from $83 million in Q3 of '06. Security sector revenues in the third quarter were $37 million representing an extraordinary 27% increase over Q3 of '06. Now that we have three quarters in the past and good visibility for Q4, we consider that our guidance for mid-teen growth on an annual basis, for both Enterprise and Security sector is materializing. This growth rate is better than most players in our industry, and we believe that reflects our growing market share. Revenues by geography for Q3 were as follows; the America accounted for $74 million or 55% of revenues. Europe, Middle East and Africa accounted for $39 million or 30% of revenues and APAC accounted for $20 million or 15% of revenues. Book to bill at the end of the third quarter was greater than one and we continue to increase our backlog. Gross margins for Q3 reach 63.4 % up from 60.6% in the same period of 2006. This quarter too we saw the continuing shift in the revenue mix toward software-based products. Contributors here are the advanced applications of NICE SmartCenter, Actimize solutions and IP-based solutions in the Enterprise and Security markets. We continue to enjoy the leverage in our business model. Operating income in the third quarter of 2007 was $22.7 million or 17.1% up from $17.8 million which was 16.9% of revenue in Q3 of '06. Net income reached a record of $21 million representing an increase of 31% from the third quarter of '06. Fully diluted earnings per share in third quarter were $0.38, up from $0.31 in Q3 of last year. We ended the third quarter with cash and equivalent of $358 million with no debt, up from $356 million on June 30, 2007. These results take into consideration the cash payments for the Actimize acquisition and the contribution of our very successful September offerings. In addition, we generated strong operating cash flow of $36 million during the quarter. DSOs at the end of September were 69 days, slightly better than our long-term guidance of 70 to 80 days. For Q4, we expect revenue to range between $142 million to $146 million and EPS per fully diluted share to be at the range of $0.36 to $0.40. This brings full year revenue guidance to a range of $519 million to $523 million and EPS to a range of $1.41 to $1.45. Looking forward to 2008, we expect revenue and profitability grows to continue. We introduce for the first time, 2008 revenue guidance at $615 million to $630 million and shelf time guidance for EPS on the fully diluted share to be at the range of $1.65 to $1.75. Before I turn the call over for questions, I would like to invite you to mark your calendar. Our First Annual Investor and Analysts Day will take place on February 26, 2008 in New York City. In the event, NICE executives and customers will demonstrate how our solutions impact organization in the Enterprise and Security markets. That concludes my comments. I would now turn the call over for questions. Operator, please? Question And Answer
Operator: Thank you. Ladies and gentlemen at this we will begin the question-and-answer session. [Operator Instructions]. The first question is from Paul Coster of JP Morgan. Please go ahead.
Paul Coster - JP Morgan: Good morning. Can you hear me?
Haim Shani - Chief Executive Officer: Yes, we can hear you very well Paul.
Paul Coster - JP Morgan: Excellent. Okay, a few quick questions. First of all, were there any currency benefits this quarter we should know or for that matter anything going against you from the currency perspective?
Dafna Gruber - Chief Financial Officer: In the third quarter we don't see anything going for or against us.
Paul Coster - JP Morgan: Okay. Haim in the beginning of your prepared remarks, you said that the competitive landscape was changing. I kind of list really how does it change, it sounds like you are gaining market share. But, from whom and why?
Haim Shani - Chief Executive Officer: I think that the industry has gone to several areas of consolidation over the last few months or even years and we believe that customers are looking at NICE as a major player in our space with very, if you like stable robust, state-of-the-art technology, leadership etcetera and we are starting to see some organizations that in the past not necessarily were looking at NICE to start replacing some of their legacy technology. Now again, this are first times and we hope this will continue, but it's important that we are starting to see this trend.
Paul Coster - JP Morgan: Legacy technology is in-house solutions or third party solutions?
Haim Shani - Chief Executive Officer: It would be our competitors in the different areas.
Paul Coster - JP Morgan: Okay. On the security side, you mentioned a number of multimillion dollar projects now. What is the average installation timeline for these projects? Are we talking months, quarters, years?
Haim Shani - Chief Executive Officer: It really depends. If we are taking the... if we look at the $70 million FAA this would of course be on the extreme side of several years and its progressing according to a very long deployment cycle. So this is the extreme. I would say, the larger like the one that we have announced, they could range in a 12 months give or take range. So this larger scale... the user, there's no user, because it's still growing but new part of our business. But I would say you could typically expect in the 12 month range for actual recognition for revenue forms from this project. And it can be linear, it can be you know with ups and downs, depends on the size. The technology is being deployed, so there is no one regular benchmark here.
Paul Coster - JP Morgan: Got it. Just a one last question. The guidance's that you have issued, does that include acquisitions, or is that completely organic for this point?
Dafna Gruber - Chief Financial Officer: That's for owned part of business that is in our business right now.
Paul Coster - JP Morgan: No new acquisitions were assumed in that?
Haim Shani - Chief Executive Officer: We are not able to guide based on acquisitions, that didn't happen.
Paul Coster - JP Morgan: Sure, the reason I asked is that you said, unless, my understanding is wrong, you closed at the 20% revenue growth. I guess that's not a true statement of organic growth because it includes the Actimize revenues, that wouldn't have been in the same quarters in the prior year, is that correct?
Dafna Gruber - Chief Financial Officer: Yes.
Paul Coster - JP Morgan: Okay got it Thanks very much.
Operator: The next question is from Daniel Cummins of Banc of America. Please go ahead.
Daniel Cummins - Banc of America Securities: Hi thanks. First question is for Dafna; if my numbers are right your G&A ticked lower quarter-over-quarter, yet you closed an acquisition. If you could just give us some color on that. And then on carry time, if you were pleased with the Enterprise results, I think again if my numbers are correct, those numbers are down quarter-over-quarter, they are not much higher than where you have been for about the last nine months in terms of run rate. I wonder if you could also comment on your, I think, 80% to 90% market share in financial trading flows. Is that going to be any kind of headwind for you next year?
Haim Shani - Chief Executive Officer: Okay, first of all, yes we are pleased with the Enterprise results. It does not represent if I am not mistaken 11 or so percent growth over last quarter of the previous year and overall it's a mid-teen growth year-to-date. So this is very nice and significantly better than anyone in the industry. In addition to that revenue is multi-seasonality issue. What is important is that booking, the order entry in the enterprise in Q3 was very strong and very positive. So overall, the Enterprise sector is doing very well and we are very pleased. Our solutions into the financial services in general are handling basically two very important areas. One area which relates to our compliance risk management and so on, and these are the type of things that whether it's in good times or bad times people need to comply with and we have record from previous years that even if times were not that great actually we have seen our business in this respect growing. Also in other parts of the financial services where if you like in the switch part of the customer interaction points and these are the areas that even if there is a downturn, people would invest in order to maintain the customer relationship and increase their business. Just an example that I have given on the use of interaction analytics, where we see our technology help collect more money for the enterprise. This is an area which is extremely important. So, overall we are seeing a mid-teen growth and this is our estimate towards the end, of the year because we already analyze the entire business and we believe that mid-teen growth in the enterprise for '07 is the plan and also behind our forecast for continuous growth in the sector in 2008. I think you had also a question to Dafna so --.
Dafna Gruber - Chief Financial Officer: Yes, the results in Q3, the G&A expenses represent a level of expenses in an ongoing basis and all the acquisition-related expenses as part of the acquisition costs which are accounted separately from G&A.
Daniel Cummins - Banc of America Securities: Well, I was referring more just to the run rate. You did have some days of business in the quarter Actimize, I was just curious why G&A wasn't picked up somewhat?
Dafna Gruber - Chief Financial Officer: Yes, the level of G&A expenses in Actimize is relatively small. It was a private company and so we don't have the brief impact from that part.
Daniel Cummins - Banc of America Securities: Okay. Thank you.
Operator: The next question is from Daniel Meron of RBC Capital Markets. Please go ahead.
Daniel Meron - RBC: Thank you. I was interacting with first to... before Haim maybe you can give us some clarification of what do you think that the bulk of these security deals that you have been winning recently will start to finally flowing in. Is it fair to assume that since a lot of these deals you already have is cost base already there, we should see some uptick in the margins related to the security division?
Haim Shani - Chief Executive Officer: As I mentioned on the security deals, some of them has actually started to materialize if you have seen with the significant growth of the business, specifically this quarter and we would start seeing them from now into next year. And hopefully we will have more of this, as I mentioned we are also working on others on the pipeline.
Dafna Gruber - Chief Financial Officer: And to your next question. The majority of the expenses that directly related to the deal, we were recognizing here are the cost being delayed as well.
Daniel Meron - RBC: Okay. Got you and then also on the recent offering you did mentioned that you may think about M&A down the road. Can you give us a sense of whether there is something that is when do you think company like that could happen? Are you waiting for that idea to contain kind of digest that first before you make next move?
Haim Shani - Chief Executive Officer: The Actimize deal is progressing very well. Obviously I cannot be specific on anything because this is our traditional policy and our teams are continuing to work on looking at the different alternatives both in security, I would say more in the security than the Enterprise sector. We have a goal strategy. We are saying all along is a combination of organic growths and strategic acquisitions and we continue to execute on this strategy. So it is not necessarily related to the Actimize acquisition but to us to make sure that if we find something it is along our criteria for what fits our strategy and what makes sense financially.
Daniel Meron - RBC: But is it fair to assume that you will wait first to see the fruits of the Actimize acquisition before you make your next move. So for the next couple of months maybe you will have --.
Haim Shani - Chief Executive Officer: We are making to make sure that we leverage the synergy from the Actimize which is on track. It is as I mentioned we are receiving very good feedback. Actimize is primarily kept as a standalone with specific synergetic points. I would say this is not a specific bottleneck for us to execute an acquisition. It doesn't mean that an acquisition is imminent or will happen either today or in the near or mid-term future.
Daniel Meron - RBC: Okay than last one from me for you on the quarter. Can you... you may have referred to this before, as far as the financial vertical, what kind of impact you are seeing there? To what extent does your guidance reflect any cautions on this vertical and what could happen in 2008? Thanks.
Haim Shani - Chief Executive Officer: As I mentioned, so far we haven't seen any specific impact from the financial services vertical on the negative side. I would almost say that and there's fair amount more to the order intake. If we look at some of the very nice orders that we have received in Q3, they are coming from finance... some of them are coming from the financial services verticals primarily on the retail side. As I mentioned, we believe that our technology is a technology that is critical both in good times and maybe even more in bad times. So, and it is delivering very concrete and specific results for our customers. So, they are actually quite optimistic of growth, there will be a major catastrophe in the world economy, we are not immune like anyone else. But overall, so far and working and looking with our customers we believe that the technology offers a very strong ROI and also protects some of those organizations against others. So, we are so far cautiously optimistic if one may say so. Overall I think you had another question about the guidance?
Daniel Meron - RBC: Yes, to what extent you are incorporating the conservatism into the guidance regarding the financial vertical or anyway?
Haim Shani - Chief Executive Officer: We have at the end of the day, we have many verticals and we have many regions and many geographies and we have the security market and even within the financial sector it is well diversified within the call center or investment banking and other departments. So, this is the first look in 2008 obviously. It is still early in the game. This is our estimate so far based on what we know and believe that can happen.
Daniel Meron - RBC: Okay. Thank you, Haim and Dafna. Congrats on the great execution and good luck going forward.
Haim Shani - Chief Executive Officer: Thank you very much Daniel
Operator: The next question comes from Daniel Ives of Friedman Billings Ramsey. Please go ahead.
Daniel Ives - FBR: Thanks. On the Actimize front would you think is fueling that market and then when you talk to the customers, heading into '08, wouldn't you believe everything hearing from customers that you think kind of fueling into stronger pipeline of success in that business?
Haim Shani - Chief Executive Officer: Think the basic areas that we are seeing are as we mentioned there is the major innovation about the ability to have a cross-channel multiple channel solutions, in areas, like frauds for example, which is a very, very innovative, technology and this is on the agenda of many organizations today, both external flow and internal flow, and this technology is an excellent development to either legacy home-grown internal IT-based solutions or legacy solutions. So there is a lot of innovation here and a very quick ROI. I would say this is an area which is extremely important today. There are areas, like, NFID for example which are new regulations outside of the U.S., primarily of course in the European markets where there is a need for technology to assure that there's, compliance with these different regulations. So overall these are an example of the type of driving of... growth drivers behind the need for the Actimize technology. And as I mentioned I just met, first hand, 150 clients of Actimize in New York just a few weeks ago, and there was a very strong excitement, A) from the Actimize solutions and B) from the potential synergy of having additional channels of information. So, organizations can have a much better understanding of what's happening in their business.
Daniel Ives - FBR: Let me ask a question for '08, I mean obviously everyone who is kiddish and just given the market on the financial service, you guys have obviously put down very well. When you talk to customers and they talk on that budget for next year, what anecdotally are you hearing? Any sort of signs of caution or it is just one perception reality where this is... you have a product which customers need and they are going to allocate at a point?
Haim Shani - Chief Executive Officer: The general environment is probably cautious for obvious reasons. I would say that in my one-on-ones with customers in our specific space and in our specific niche, I'm hearing examples such as with new technology of the analytics for example, we could save on customer churn x number of dollars which is a major benefit, and this would be one of those things that when we go and budget for '08, these are the type of things that we will put forward in the budget. So, again as I mentioned, I don't want to sound arrogant and to say that we will be completely new and if there will be a major down turn don't get me wrong but obviously as things are progressing now, we're actually hearing a bit that the technology that we have to offer ROI is strong enough to be on top of the budget for next year and this is obviously behind our projections. I also want to remind a little bit in addition to the financial services industry we have, we are serving other verticals, whether its telcos outsourcing, and of course a major growing part in the security business.
Daniel Ives - FBR: And when you look at '08, I mean you just certainly give guidance and given your visibility have you seen the more types of coverage ratios relative to turning the pipeline to deal flow I mean, Dafna if you cover how you view the '08 relative to a very successful '07, in regards to forecasting that. Can you just give us some granularity? And just given the fact the given '08 guidance in the uncertain environment and it could be strong.
Haim Shani - Chief Executive Officer: Yes obviously '08 is not done yet and unfortunately we cannot say that the impact of '08 is covered with respect now our team will have to work the very successful... very hard to make '08 successful, so that's of course. We have been suing similar methodology so far out looking at the year ahead based on industry plans, based on technology penetration, based on analysis of our competitor strength and also some of the backlog like the large security projects that we have just announced that obviously will be carried forward and are other not just security, security and enterprise which would be carried forward to 2008. Beyond that there are several plans there, as I say the adoption of the interaction analytics technology, the progress and the change rate of a Voice-over-IP technology, geographical spending some areas are stronger than others and this is behind our estimates of geographies that will be stronger than orders. So these are the parameters and past performance of course. So these are the parameters that we have been into account when giving the first look at 2008.
Daniel Ives - FBR: Thanks. Solid quarter
Operator: Thank you. The next question is from Craig Nankervis of First Analysis. Please go ahead.
Craig Nankervis - First Analysis: Yes thanks. Daphna are you breaking out Actimize for Q3?
Dafna Gruber - Chief Financial Officer: Actimize in September is not Q3. It's only September, it contributed about $3 million to our revenues.
Craig Nankervis - First Analysis: It was about $3 million and is there any Actimize in the security results that you gave?
Dafna Gruber - Chief Financial Officer: No and by the way the $3 million was according to our expectations when we announced closing of the deal.
Craig Nankervis - First Analysis: Right. May be then, just if you could help walk me through the security spike that you saw sequentially a great results there, I thought that the launch or deals you guys land are recognized over multiple quarters is that true? Or can you just explain me why we might assume the spike?
Dafna Gruber - Chief Financial Officer: The large projects we announced over the last few months are not into revenues of Q3. In Q3 the extraordinary phenomenon we saw is that we were able to close and complete certain smaller sized projects that we were able to collect acceptance, collect some cash and all the different element that helps us recognize some revenues and that was exceptionally good in the third quarter and this is why we are saying, I would say an extraordinary result in Q3.
Craig Nankervis - First Analysis: Also for your '08 top line guidance, are your Actimize assumptions basically unchanged from when you announced the deal. I think it was $55 million to $60 million wasn't it?
Dafna Gruber - Chief Financial Officer: Yes.
Craig Nankervis - First Analysis: So, unchanged?
Dafna Gruber - Chief Financial Officer: Yes.
Craig Nankervis - First Analysis: Okay. That's all I have thanks, great quarter.
Dafna Gruber - Chief Financial Officer: Thank you.
Operator: The next question is from Shyam Patil of Raymond James. Please go ahead.
Shyam Patil - Raymond James: Hi, good morning. Haim you mentioned that you continue to see positive dynamics in the market rate. Could you maybe comment how long are you expecting this to occur due to a specific competitor or a bit more broader than that?
Haim Shani - Chief Executive Officer: If I feel now I would [ph] apologize that obviously. We are performing well and looking at positive guidance. Again, we expect it to continue in '08 because otherwise it wouldn't guide what we have guided. Right now, we are seeing positive dynamics, we are seeing growing pipeline in both sectors which is very sensitive and we are very busy working on many deals, which we hope to close in Q4 and also for next year. There is a lot of interest in the things that we do, both on the security and the enterprise. So, we hope it will continue and there are at least from our part good signs that this continue, this is across the board. We look at the optimized pipeline, it looks very positive. We look at the pipeline of our entire operation in all regions. We see a lot of activity. So we hope this will continue. As I say, I believe it's a result of growth and strategy, the technology that we have in place, the competitive landscape all this is contributing to our cautiously optimistic for the time being.
Shyam Patil - Raymond James: Okay great. Dafna could you walk us through your gross margin and operating margin assumptions for '08?
Dafna Gruber - Chief Financial Officer: The gross margin assumption is to be in the areas, where we are now plus or minus 63% and operating margin is designed to fulfill our long-term targets, obviously it is 16% to 20%.
Shyam Patil - Raymond James: So a slight improvement over '07 or could it come in products [ph]?
Dafna Gruber - Chief Financial Officer: Slight improvement over time.
Shyam Patil - Raymond James: And then, the way you saying positive feedback in the market grades and some of your customers for Actimize, I was wondering if you could comment on the kind of cross-selling opportunities you are seeing, I mean not as compared to what you originally expected, because then I would call the Actimize guidance really doesn't assume much cross-selling in '08?
Haim Shani - Chief Executive Officer: Yes first of all this is correct. I was referring to positive and the example that I have given was from meeting 160 clients, in Actimize clients from. The positive comments were primarily on the innovation behind the idea of one company providing a full integrated solutions for transactions and interactions. If you take and we have given this example, and now we evaluated with customers, if you are taking organizations, that are fighting both external and internal, for the significant enough for that could be generated from the call center and whether its internal people cooperating or other reasons and our ability to add to the Actimize analytic engines. The analysis of different trends on the interactions of their clients or internal people what was said by who, what was the context, how it's related to some activity on an agent's screen and combining this with, transact with a very quickly with transaction and formation can provide a much broader and much more reliable models to predict for which is directly both for the bottom line and to the reputation of the organization. So, these are the type of feedbacks that we are getting. Obviously as we are talking about technology there are technology activities that we will and we'll do in order to generate this type of synergy. In addition, also to some cross-referencing of joint customers which we have started to take place in this business, in production and between initial introduction to actual signing and recognition of deals take time and therefore, for '08 we didn't assume much synergy for the time being.
Shyam Patil - Raymond James: And then what do think the contracts in '08. To your comment on what the penetration is, for your installed base and what you think it will take to drive this today 50%. Is it more function of sales and marketing at this point, better communicating ROI?
Haim Shani - Chief Executive Officer: Yes, every customer that has started to implement this, we are seeing phenomenal results. The feedback that we are receiving about the technology and the value for position is almost behind, beyond our expectations and of course the challenge now is how to scale up when this is directly what we are doing. So penetration is really low. Few percentages of the customers have actually deployed it and built a lot of room for growth in this area.
Shyam Patil - Raymond James: Thank you.
Operator: Your next question is from Roni Biron of UBS. Please go ahead.
Roni Biron - UBS: Hi Haim and Dafna. Quick question regarding the gross margin, Daphna you mentioned that in 2008 it should remain rather steady. Is that more the result of your increasing involvement in integration projects and or should we assume that the expansion in software component is going to moderate?
Dafna Gruber - Chief Financial Officer: Gross margin is a combination and there are several combination of different factors. The positive factors are factors of software- based solutions, software-only solutions, and on the other hand we have the impact of small potential services and also on large scale project sometimes goes marginal or looking. So it's a combination of everything when we make the contraction of all the recent elements we come to our gross margin assumption. Currently for the near future I think gross margin at in the area of 63% maybe up or down 1% or more but this is where we expect to be going forward.
Roni Biron - UBS: If you look only on the gross margin of the product segment and including there in services aside. Can you give us a rough idea on how much software is there and how much can it increase I mean over time.
Dafna Gruber - Chief Financial Officer: We are breaking down gross margin based on product that's positive. You are going to see this over time that structural components in our product is growing.
Roni Biron - UBS: Okay. Actually the gross margin expansion within the product segment remains intact, I mean it continues to improve and there is no reason why it shouldn't next year, right?
Dafna Gruber - Chief Financial Officer: It can continue to improve. As I said, this one current factor, one factor improvement because of the other factors is the some times there are negative impacts on the cash flow, on the gross margin because of product coming from larger scale project.
Roni Biron - UBS: Okay. And then just another regarding the Actimize, the integration of Actimize could you maybe elaborate a bit on the time line and what needs to be done and what are the cost synergies next year.
Haim Shani - Chief Executive Officer: First of all, there is...this is Haim. There is no cost synergy because this was not a cost cutting exercise, this was a strategic acquisition in order to significantly change the landscape, if you would like for NICE in the coming years. So, it's not a cost cutting, the milestone if you like this is not a full integration as we have mentioned, we believe that Actimize should continue and operate as a focused entity, run by its CEO and there are milestones, in terms of customer referrals and joint technology development that this other type of things that we are actually working as we speak.
Roni Biron - UBS: Great. Thanks a lot and good luck.
Haim Shani - Chief Executive Officer: Thanks.
Operator: The next question is from Irit Jakoby of SIG. Please go ahead.
Irit Jakoby - SIG: Hi. Thank you. I am on the security side, obviously the security is a much more segmented market than enterprise. But can you talk a little bit about where you are taking market share?
Haim Shani - Chief Executive Officer: We cannot be more specific on market share but what I can say is that we see that the vision that we have with the combination of audio and video, the ability to offer NICE Inform is a very innovative product is really helping us in different products. And we are primarily, I would say stronger in transportation and command and control center of police and emergency centers. So these are the two verticals if you would like that the NICE is more active and this where I would see at our progress. So I would say transportation and emergency center for police, fire, ambulance and so on.
Irit Jakoby - SIG: Okay great and turning again to Actimize, can you talk a little bit about what your plans are for during the any integration on the product side down the line?
Haim Shani - Chief Executive Officer: I think, I mentioned before of this would be integration of a joint solution that we'll combine with transaction and interaction providing feeding data into the different Actimize model and I don't want to be more specific because this is of course a, also competitive information. But these are the type of things that we will be doing in the coming quarters.
Irit Jakoby - SIG: okay great Thank you.
Operator: The next question is from Jonathan Hill [ph] of William Blair. Please go ahead
Unidentified Analyst: Good morning guys, nice quarter. On the security side, can you give us some color on where you are seeing some of the large opportunities just from a geographic basis and the types of customers that you are seeing opportunities come from?
Haim Shani - Chief Executive Officer: I'll try to be, give you some color but not too much because opportunity is, if I'll be more specific then some others might try and be there as well. Obviously one that we have announced so easy to talk about these in the US with the NYPD and as you can imagine winning such major project this is not unnoticed by others. We are also active in other geographies both in EMEA there are investment in technology there to help government better protect citizens and also in other parts in APAC. So, I would say like the prudent afforded we have announced this quarter and we have announced other in previous areas. So, I would say that both in the emerging markets, there are investment to protect infrastructure and also there is some renovation and upgrade in the west. So, it's all over basically.
Unidentified Analyst: Okay and with regard to Actimize, do you see any kind of contribution on the security side in 2008 or kind of going beyond for the obligation?
Unidentified Company Representative: There are many things that Actimize platform can help NICE, but right now we are modeling our business and also we don't want to de-focus this operation and they are becoming gradually a leader majorly that into space, creating in some areas the new space. So yes it can contribute to the security market but we did more than it into our 2008 guidance.
Unidentified Analyst: Okay, with regard to I guess the software content on their product side, is that being driven in parts by increased sales. You know, I guess building on platforms, for your existing customers, what type of contribution do you expect in '08 I guess from that existing customer base?
Haim Shani - Chief Executive Officer: I think that Dafna covered the gross margin part of it but in terms of software I would say that it's highly likely that most of the sales to our installed base, would incorporate primarily a software-based solutions, there can be additional upgrades and extension of the what I would say Nortek TTM [ph] voice recording which will have also hardware components, still will help in 2008, but definitely on the Enterprise side, the sale into install base with incorporate more and more software or primarily software.
Unidentified Analyst: Great Thank You.
Haim Shani - Chief Executive Officer: Thank you very much.
Operator: We have a follow up question from Daniel Ives with Friedman Billings Ramsey. Please go ahead.
Daniel Ives - FBR: Yes just a quick question, I know you mentioned but what do you think about share count for our Q4?
Dafna Gruber - Chief Financial Officer: The share count for our Q4 in the 2008 is expected to be 61 million.
Daniel Ives - FBR: Thanks.
Operator: Thank you. There are no further questions at this time. Before I ask Mr. Shani to go ahead with his closing statement, I would like to remind the participants, that a replay of this call is scheduled to begin in two hours. In U.S., please call 188-326-9310, in Israel please call 039255930. Internationally please call 97239255930. Mr. Shani would you like to make your concluding statement.
Haim Shani - Chief Executive Officer: Yes I would like to thank everyone for participating in this call. We look forward for having you join us on the next quarter's call. Have a good day. Thank you.
Operator: Thank you. This concludes the NICE Systems third quarter 2007 results conference call. Thank you for your participation. You may go ahead and disconnect.